Operator: Hello, ladies and gentlemen, thank you for standing by NIO Inc. Third Quarter 2022 Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded. I will now turn the call over to your host Ms. Eve Tang from Capital Markets. Please go ahead, Eve.
Eve Tang: Good morning, and good evening, everyone. Welcome to NIO's third quarter 2022 Earnings conference call. The company's financial and operating results were published in the press release earlier today and are posted at the company's IR website. On today's call, we have Mr. William Li, Founder, Chairman of the Board and Chief Executive Officer; Mr. Steven Feng, Chief Financial Officer; Mr. Stanley Qu, Senior Vice President of Finance. Before we continue, please be kindly reminded that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the views expressed today. Further information regarding risks and uncertainties is included in certain filings of the company with the U.S. Securities and Exchange Commission, the Stock Exchange of Hong Kong Limited and the Singapore Exchange Securities Trading Limited. The company does not assume any obligation to update any forward-looking statements, except as required under applicable rules. Please also note that NIO's press release and this conference call includes discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Please refer to news press release, which contains a reconciliation of the unaudited non-GAAP measures to comparable GAAP measures. With that, I will now turn the call over to our CEO, Mr. William Li. William, please go ahead.
William Li: [Foreign Language] Hello, everyone. Thank you for joining NIO's third quarter 2022 earnings conference call. In the third quarter 2022 NIO delivered a total of 31,607 smart electrical vehicles, up 29.3% year-over-year setting a new quarterly high. Based on our latest technology platform, NT2.0, we have launched and delivered three new products, which has improved the competitiveness of our product line-up in all aspects and enabled NIO to enter more premium segments, catalyzing continuous demand growth. In October, overcoming the production and supply chain volatility, we delivered 10,059 vehicles, representing a 174.3% increase year-over-year. We will continue to collaborate closely with our supply chain partners to stabilize components supply and further accelerate the vehicle production and the delivery. We expect the total number of deliveries in the fourth quarter of 2022 to be between 43,000 to 48,000. Next, I would like to share some recent highlights of our R&D and operations. In September as the show cars of ET5, a smart electric midsize sedan began to be on display in our stores. Store traffic reached a record high and order intake witnessed its strong growth momentum. On September 30, we officially kicked off the delivery of ET5 and the preliminary user satisfaction rate exceeded our expectations. Over the past couple of months, Banyan, the digital system of NT2 has iterated and upgraded multiple times with continuous user experience improvement. We have strong confidence in the market competitiveness of the new models based on the NT2 platform. With respect to the sales and service network, we now have 399 new houses and the new spaces in 149 cities and 280 service centers and delivery centers in 163 cities. In terms of the charging and swapping network, NIO has installed a total of 1,210 power swap stations and provided 14 million battery swaps for users. NIO has installed 2,055 charging stations with 5,765 power chargers and 6,077 destination chargers in place. In the meantime, our power [map] (ph) has connected to over 590,000 third party chargers in China and more than 380,000 chargers in Europe. Since we entered the Norwegian market last September, our products and services have been well received by local users and the user community has been growing rapidly, which has laid a solid foundation for and boosted our competency in entering more markets in Europe. On October 7 this year, we held NIO Berlin 2022 where we comprehensively introduced our products and services to users in Europe, marking of our official market entry in Germany, the Netherlands, Denmark and Sweden. NIO Berlin drew a lot of attention and recommendation from users and the auto industry in Europe. We are now organizing larger scale test drives and kicked off user delivery in Europe. Yesterday, NIO ET7 won the 2022 Golden Steering Wheel award granted by the prestigious German Magazine Auto Bild, as ET7 was voted the best car in the median and upper class category. Both of our products and innovative technology have been highly recognized by the users, industry experts and professional media in Europe. To better serve user communities in Europe, we plan to open new houses and new spaces in 10 major European cities such as Berlin, Frankfurt, Rotterdam, Copenhagen and Stockholm. We also plan to install 20 power swap stations in Europe by the end - by the year end and another 100 by the end of 2023 So that more users can experience new chargeable, swappable and upgradable power system in Europe. In addition, we have established an R&D center in Berlin for localized development and deployment of digital cockpit and ADAS to continuously improve the intelligent digital experience of local users. On September 27, NIO announced the cooperation with the Danish Society for Natural Conservation and Danish Nature Foundation under Clean Parks initiative. NIO hopes to actively engage with the local communities, share their responsibilities and jointly make contributions to a more sustainable future. On September 30, upholding Nio’s [original] (ph) aspiration of Blue Sky Coming, NIO released the first NIO Environment, Social and Governance report 2021, where NIO shared its ESG management practices and performance in 2021. In 2022, NIO has further advanced in product core technologies, charging and swapping network, as well as sales and service network which has laid a solid foundation for us to compete in the global market for the long run. In spite of the operation challenges brought forward by the changing macroenvironment, we believe that NIO is fully capable of staying focused on product and technology innovations, as well as its service capability improvement, while further optimizing the cost structure and improving operational efficiency to introduce more beyond the experience products and services to users worldwide. As always, thank you for your support. With that, I will now turn the call over to Steven to provide you the financial details for the third quarter 2022. Over to you Steven.
Steven Feng: Thank you. I will now go over our key [Technical Difficulty] for the third quarter of 2022. And to be mindful of the length of this call, I'll reference to RMB only in my discussion today. I encourage listeners to refer to our earnings press release, which is posted online for additional details. Our total revenues in the third quarter were RMB 13.0 billion, representing an increase of 32.6% year-over-year, and 26.3% quarter-over-quarter. Our total revenues are made of two parts: vehicle sales and other sales. Vehicle sales in the third quarter were RMB 11.9 billion, representing increase of 38.2% year-over-year and 24.7% quarter-over-quarter. The increase in vehicle sales year-over-year and quarter-over-quarter was mainly attributed to higher deliveries, as a result of more diversified product mix offered to our users. Other sales in the third quarter were RMB1.1 billion, representing a decrease of 8.5% year-over-year and an increase of 48.2% quarter-over-quarter. The decrease in other sales year-over-year was mainly due to the decreased revenue derived from sales of automotive regulatory credits, offset by the increase in other revenues in line with the incremental vehicle sales. The increase in other sales quarter-over-quarter was mainly attributed to the increased revenue derived from sales of automotive regulatory credits and increase in other revenues in line with the incremental vehicle sales. Gross margin in the third quarter of 2022 was 13.3%, compared with 20.3% in the third quarter of 2021 and 13.0% in the second quarter of 2022. The decrease of gross margin year-over-year was mainly attributed to first, the decreased revenue derived from sales of automotive regulatory credits with high sales margin, second, the decrease of vehicle margin, and third the reduction in other sales margin resulting from expanding investment in power and service network. The increase of gross margin quarter-over-quarter was mainly attributed to the sales of automotive regulatory credits with high sales margin. More specifically, vehicle margin in the third quarter was 16.4%, compared with 18.0% in the third quarter of 2021 and 16.7% in the second quarter of 2022. The decrease of vehicle margin year-over-year was mainly attributed to the increased battery cost per unit, which was partially offset by the decrease in subsidization in user vehicle financing arrangements. Vehicle margin remained stable quarter-over-quarter. R&D expenses in the third quarter were RMB2.9 billion, representing an increase of 146.8% year-over-year and 37% quarter-over-quarter. The increase in R&D expenses year-over-year and quarter-over-quarter was mainly attributed to the increased personnel costs in research and development functions as well as the incremental design and development costs for new products and technologies. SG&A expenses in the third quarter were RMB2.7 billion, representing an increase of 48.6% year-over-year and 18.8% quarter-over-quarter. The increase in SG&A year-over-year and quarter-over-quarter was primarily due to, first, the increase in personnel costs related to sales and general corporate functions, second, increased expenses related to the Company’s sales and service network expansion, third, increase in marketing and promotional activities to promote our vehicles in China and Europe. Loss from operations in the third quarter was RMB3.9 billion, representing an increase of 290.2% year-over-year and 36.0% quarter-over-quarter. Other losses, net in the third quarter of 2022 was RMB495.6 million, representing an increase of RMB528.2 million from other income of RMB32.6 million in the third quarter of 2021 and an increase of RMB305.6 million from the second quarter of 2022. The increase of other losses over the third quarter of 2021 and second quarter of 2022 was mainly due to the loss from the revaluation of our overseas RMB-related assets as a result of the depreciation of RMB against U.S. dollars in the third quarter of 2022. Net loss in the third quarter was RMB4.1 billion, representing an increase of 392.1% year-over-year and 49.1% quarter-over-quarter. Net loss attributable to NIO’s ordinary shareholders in the third quarter was RMB 4.1 billion, representing an increase of 44.9% year-over-year 50.9% quarter-over-quarter. Our balance of cash and cash equivalents, restricted cash, short-term investment and long-term time deposits were RMB51.4 billion as of September 30, 2022. Now, this concludes our prepared remarks. I will now turn the call over to the operator to facilitate our Q&A session.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] Our first question comes from Ming Hsun Lee with Bank of America. Please go ahead.
Ming Hsun Lee: William, Steven, hi. [Foreign Language] Previously your capacity is capped by component supply, especially the welding part, as well as the chips. So could you also update your latest capacity - component capacity? If there is no COVID control, impact. Thank you.
William Li: [Foreign Language] Thank you, Ming for the question. Yes, regarding the production in October, there has been some impact due to several reasons and the impact is around several thousand. One the factor is because of the subframe just like you mentioned, but we expect that this will be resolved in November. And then the second reason is the new EDS for ET5, we actually have a new EDS pump next to our factory [II] (ph) and the automation level of the new EDS pumps is very high. We only need to have around 30,000 people to support the overall operation of these new EDS pump. Due to the ramp-up volatilities of the EDS over production is affected by around 2 to 3000. And the third reason is the COVID-19 situation. I believe this has impacted the production for around one week. So overall speaking, all those factors have affected the production in October, but we have resumed normal production now, and we expect to have a new production line for the new EDS next week and probably by the end of this month this new EDS line will be ready and we can ramp up the production. We will - we have already solved the subframe issue. And I believe probably in December, ET5 production will not be a issue. And as of now, I don't believe there is any production issue for the ET7 and the ES7.
Ming Hsun Lee: [Foreign Language] The U.S. semi [ban] (ph) how will this impact the development for the industry and also NIO. Besides Nvidia currently can sell [800] (ph) chips to China if compared to 100, how do you see the impact to the progress of our autonomous driving training?
William Li: [Foreign Language] Thank you for your question. Regarding the Chip Act. I believe this many affected the chip used for cloud training. Right now, I believe that we have a sufficient chips like the A100 to satisfy the need for the AD training in the long run. But at the same time, we are also exploring different opportunities. For example, we're considering working together with some cloud service providers, and we are also evaluating some long-term solutions to support the integration of our AD solutions. As of now, I don't actually see any impact on overall operations. Thank you, Ming.
Operator: Our next question comes from Paul Gong with UBS. Please go ahead.
Paul Gong: [Foreign Language] So my first question is regarding the ET5 order. Just now you mentioned that the satisfaction level has beat your expectation. But you did mention how the orders intake has been. How do you see the orders intake since the launch and especially after the late October after Tesla launched another wave of price cut, do you see any impact from there? This is my first question.
William Li: [Foreign Language] Thank you, Paul, for your question. Of course, I understand regarding the ET5 orders. The more important thing for us is right now to find ways to deliver ET5 users and shorten the waiting time for the users. So generally speaking, order is not an issue for us regarding ET5. Regarding the ramp-up of ET5 because this is still at a relatively early stages, so we would like to pay more attention to the quality improvement and make sure we can stabilize the quality of the ET5. The demand for ETF is very strong as we expected. Of course, it's a strong - if the order can be even stronger, the stronger the better. But if - but at the same time, we don't want the user to wait for a really long time. If we come back to Tesla, Tesla often cut its prices. So we don't actually think this affected the user demand regarding new product. If we look at the specific products, like the Model 3, there is a big price gap compared with our products. And if we compare the Model Y with our ES6, we don't actually believe that we are competing in the same segment. So if we look at the pricing of our products and the positioning of our product, that's strictly speaking, we're not competing with Tesla in the same segment.
Paul Gong: [Foreign Language] So my second question is regarding the expenses, including both R&D and SG&A. It seems to be climbing up a lot Q-on-Q this quarter. Is that just temporary because you have new products and trying to explore the new market in Europe? Or is it more like structural? And if so, what is your expectation for [its trends] (ph) going forward?
Stanley Qu: Hi, Paul, this is Stanley. The increase of SG&A in Q3 compared with Q2 is because our sales and service network in China and also in Europe since we entered more country market in Europe this third quarter and also some marketing and promotion activities - more marketing and promotion activities in Q3 compared with Q2. From the long term, I think also you can check with - you can check this result from Q3, SG&A as a percentage of sales revenue will continue to be optimized along with the improvement of our operation efficiency. I think in 2023 and also the coming years, you will see a stable trend to - for further improvement of this ratio.
William Li: [Foreign Language] Regarding the R&D expenses, yes, we do see some increase in the third quarter compared with the second quarter. This is mainly because of our new product development cadence, as well as other initiatives like the battery chipsets and the test and the validations when we enter new markets, as well as the employee cost and the ETP cost. This is actually part of our over plan, and we don't think that there is any other additional R&D expenses that is out of the planning of the company. [Foreign Language] Regarding the R&D operations, I believe right now, we have entered a relative stable phase regarding the R&D development work, as well as the operations. So for us, we believe when it comes to the R&D expenses, including the human resources cost, it will stay at a relatively stable level. For example, probably every quarter, it should be around RMB 3 billion. Of course, at the same time, we will continue to improve the system efficiency of our R&D efforts and - but for some time from now, I believe it will stay at this level to make sure we can have more product and technology innovations to provide better experience for the users.
Paul Gong: [Foreign Language] So what is roughly the ratio of Europe accounts for this quarter session?
Stanley Qu: Yes. Hi, Paul. You know, Europe is now at quite initial stage. So currently, the overall expense is not a big percentage of the overall SG&A. Now the mark - the sales and marketing team for our Europe business is about 500 headcount. So yes, that's basically the information for our Europe business.
Paul Gong: Okay. Thank you very much. [Foreign Language]
Operator: Our next question comes from Tim Hsiao with Morgan Stanley. Please go ahead.
Tim Hsiao: [Foreign Language] So my first question is about the production and delivery. So I think based on the fourth quarter guidance, basically, the average delivery in November, December could be around 17,000 to 19,000. So what would be the peak monthly output NIO can reach by end of this year? And how is the trajectory looks like into first half next year? With the supply chain bottleneck kind of a structure issue, given the unchanged COVID policy, and more new model, new players and likely longer time for suppliers to expand their capacity they improve their production yield?
William Li: [Foreign Language] About speaking, it's quite difficult for us to make estimation regarding the impact of the corporate control and prevention measures on the operation of the company. But if we talk about the supply chain and the vehicle production, I believe the vehicle production capabilities should be able to meet the delivery target we set for next year. And if we speak of the supply chain, we do see some challenges, for example, in December, we will face some constraints regarding the supply of the silicon top line. But if we look at 2023, I believe the supply chain and the production capacity has the capability to meet the demand and the target that we set up for ourselves. [Foreign Language] For 2023, I believe for the vehicle production, we will be - have - we will have a relatively sufficient production capacity to meet the demand. And if we can achieve a 150,000 production capacity on one shift, I believe the production of the vehicle will be carried out in a very smooth manner.
Tim Hsiao: [Foreign Language] So my second question is about the profitability because based on our own observation, we noticed the life cycle with smart EV in China is actually getting shorter, rather than longer in traditional cars. So considering the very sizable R&D and manufacturing investment, what would be the more reasonable terminal growth in your operating margins? And you know, should we – we should look for, especially I think the competition is getting more intense? Thank you.
William Li: [Foreign Language] Thank you for your question. Regarding the smart electric vehicles, I believe we have a much faster iteration cycle compared with the traditional vehicles. And we believe that the iteration cycle should be around 3 years, and this is how we iterating our smart technologies in NIO. Of course, different companies have different strategies and different iteration cycles. But in NIO, if we look at our technology platforms, and we believe with one technology platform, so we actually have the same kind of hardware and software for all the vehicles based on data technology platforms. For example, previously, we have explained, we have the NIO Technology 1.0 and the NIO Technology 2.0. So all the products are based on NIO Technology 1.0. They have the same kind of software and hardware when it comes to the smart technologies, and that's the same for NIO Technology 2.0. At the same time, we also have the unified battery pack and we also share a lot of commonalities when it comes to the vehicle problems. Of course, previously, we mentioned we would like to offer different kind of top head to meet the diversified demands and take for different users. So if we think about the technology platforms and of vehicle platform strategy, I think 20% to 25% vehicle gross margin is not a very big challenge for us. But if we look at 2022, specifically, the cost of the battery sky rocketed. So of course, at the same time, we have increased the price of our products. And even against this backdrop, we have, I believe, achieved a relatively reasonable vehicle gross margin. Previously, we have also achieved a 20% vehicle gross margin in the past. Like in the past, we didn't have the battery cost increases. So this is a relatively reasonable vehicle gross margin for – our products. In the future, if the battery cost can come down to a reasonable level, I think it's possible for us to regain the 20% to 25% vehicle gross margin with our products. In addition to that, with our vehicle technology, vertical integration, including the battery, the chipset, I believe we will have more room to improve for the vehicle gross margin, and it's possible for us to achieve 25% to 30% vehicle gross margin. If we look at the mass market, I believe the challenge is much bigger because if we combine all the companies in the mass market right now, I think the overall gross margin is actually negative. Of course, BYD is an exception because they have the vertical integration of the batteries and other technologies. So if we do not have the vertical integration capabilities in the mass market, it will be quite challenging to provide in the mass market. But if we have this capabilities in place, I think it's possible for us to also achieve 20% to 25% with other mass market products.
Tim Hsiao: Thank you, team.
Operator: Our next question comes from Bin Wang with Credit Suisse. Please go ahead.
Bin Wang: [Foreign Language] My question, first one is about your guidance. You know, actually asking three things. Number one, ET5 will be higher volume than BMW 3 series. And then two guidance to start, you were breakeven in the number four quarters next year. And number three, guidance, at start this year you have an 18% to 20% gross margin for the vehicle. Did you maintain this guidance for these orders? Thank you.
William Li: [Foreign Language] Thank you, Bin, for your question. About speaking, that's still the direction we're aiming for – for the core business of NIO, we are still aiming to achieve breakeven in the third quarter of 2023, and this is still our plan. At the same time, we're also working on different strategic new business. For example, we have two new brands and the battery chipset and the smartphone business at the same time. So if we look at 2023, the investment for those strategic new business is going to be around RMB 3 billion to RMB 4 billion. It means that probably around RMB 1 billion every quarter. If we take all those strategic new business aside, we are still very confident to achieve breakeven for new core business in the fourth quarter of 2023. [Foreign Language] So for the second question regarding ET5, you mentioned previously the - one of cofounder mentioned that the ET5 volume is going to exceed the volume of the BMW 3 Series in AE Bank [ph] And of course, this is not a guidance, but because I believe ET5 is much, much better than BMW 3-Series. So we are very confident to achieve this target. [Foreign Language] For the vehicle gross margin, in 2022, I believe there's still many challenges for us, especially when it comes to the lithium carbonate [ph] cost. Right now, the lithium carbonate cost still stays at a very high level. Previously, it has dropped to around RMB400,000 and now is going back or actually reached a new high that is around RMB600,000. This has significantly affected the battery cost and for us, this is actually out of our control, and it's very difficult for us to predict . But I believe we can still remain a relatively stable vehicle gross margin in the fourth quarter compared with the third quarter. For the lithium carbonate cost, I would like to probably share some impacts. So I don't think that the price or the cost of the lithium carbonate is due to the supply situation. Because right now, if you look at the car companies in China, I don't think that there is any car companies that cannot deliver their products because of the battery shortage. So of course, in the future, we believe lithium carbonate cost will go down, but we cannot predict when. This has a relatively big impact on us because for all of the products we have a relatively high battery capacity. Averagely speaking, for each of our vehicles, the batteries around 80 to 90 kilowatt hours. So if the lithium carbonate cost stays at a very high level, this is going to have a big impact on the vehicle gross margin. For us, maybe I can give you some numbers, which will probably help you to understand the situation. If we think about RMB100,000 cost for the lithium carbonate, this is actually affecting our vehicle gross margin by around 2.02%. And if we can see the lithium carbonate cost drops from 600,000 to 400,000, then this is going to improve our vehicle gross margin by around 4%. So if the lithium carbonate cost can drop to even lower, probably around RMB100,000, which is a reasonable price for the lithium carbonate then it means that our vehicle gross margin can improve by probably around 8%. So this is the reality we are facing.
Bin Wang: [Foreign Language] So my question is about what’s the Model Y [indiscernible] ET5, Tesla. And we see this going to be showcased in the upcoming year date in December this year? Thank you.
William Li: [Foreign Language] So for the product line up in the first quarter of next year - in the first half of next year, we're going to have the five new products. And I believe probably one of them is going to be like the Model Y to Tesla like you mentioned. But for us, we focus more on the overall volumes of all the product line up. We are in the premium market segment. So our philosophy is to satisfy the diversified user demand with high efficiency. In the price range from 300,000 to 500,000, we will provide a different product to satisfy the diversified user demand and the taste. So I believe with our product line up, we should be able to achieve a good of all delivery volume that can meet our expectations. I don't actually expect that one product can fill around over or probably around – what can sell over 100,000 units in China. For example, for ET5, it can sell probably over 30,000 units per month. This is going to be a very common straight car, and I don't think this is good for the ET5 or for NIO. [Foreign Language] For the massive -- for the mass market, this is a different story. We just had a meeting today with the mass market team. And for us, we believe the mass market product can sell probably over 50,000 units per month, for one model because this is different in the market segment and different target user groups. Thank you, Bin.
Operator: Our next question comes from Jeff Chung with Citi. Please go ahead.
Jeff Chung: [Foreign Language] So my question is about the sales volume growth into November and December. So in order to meet our medium quarterly target, 43,000 units. And if the month-on-month improvement to be linear at around 37%, we should be reaching around 19,000 units monthly run rate by December. So from which could you break down the volume of ET5? And the second question is if this ramp-up pace is going to be nonlinear with most of the weight happening concentrated in December. So could you tell us what kind of elements will be determined our run rate overshot in December, but not in November? Thank you.
William Li: [Foreign Language] Thank you, Jeff, for your question. In November, we will still need some time to ramp up the production, including ET5, considering the factors I just mentioned like the EDS. In December, except the silicon carbine I just mentioned, I believe we will have more production compared with the production of November. Of course, in December, we hope that we can still achieve over 20,000 production run rate.
Jeff Chung: [Foreign Language] No more questions. Thank you.
Operator: The next question comes from Nick Lai with JPMorgan. Please go ahead.
Nick Lai: [Foreign Language] Let me take my two simple questions. Really, the first question is about the cash burn and the CapEx expectation as we move into '23 and '24 and also take into account of incremental investment [indiscernible]? The second question, again, is on the AI shift to price strategy and if you can just talk about the potential opportunity dilution. We have stock of [indiscernible] 1000 chip and that was looking for car solution, that's related to algorithm, but what about the chip they use in the car? Thank you.
Stanley Qu: Hi, Nick, this is Stanley. As introduced by William and myself, we will further improve our SG&A operating efficiency. And furthermore, our R&D expense will keep stable compared with - relatively stable compared with 2022. So operating cash flow wise, I think we are quite optimistic to achieve positive working - like operating cash flow in future years. So our cash burn mainly depends on the capital investment. Now we are planning our next year's budget. And from the - generally, I think the total segue of CapEx in next year will not increase so significantly compared with this year. But we are planning more like sales and service network. And also, we are planning more production and also supply chain capacity. So at this moment, I won't give you the clear guidance. And we are also confident that our cash on hand can supply our ongoing operation until breakeven is finally achieved.
Nick Lai: Yeah. Thank you. [Foreign Language]
William Li: [Foreign Language] About speaking, we understand there are still many uncertainties in the market. But I believe with our current cash reserves and also the bank facilities, we should be able to support the company's operation until we breakeven. So we don't think this is going to be a huge challenge for the company. [Foreign Language] Regarding the chipset, previously, we have already addressed the AI training chipset that is the NVIDIA A100. And now I would like to probably elaborate more on the onboard chipset. We are the first company in the world to launch of a products that is equipped with NVIDIA already, which is actually 6 months earlier than other companies. We also have a very close collaboration with NVIDIA. But at the same time, last year, we have already kicked off the R&D of our AD chipsets. Right now, we have around 500 people working on the AD chipset. I believe it is commonly acknowledged that AD chipset is closely coupled with the AD algorithm. If we can use the AD algorithm to define the design of the AD chipset, the overall efficiency can be significantly improved, which can also contribute to our vehicle gross margin. The overall progress of the AD chipset R&D is on track and we have seen some positive achievement from the team.
Nick Lai: [Foreign Language] Thank you.
Operator: The next question comes from Jane Chang with CICC. Please go ahead.
Jane Chang: [Foreign Language] So my first question is about in the current external environment, everyone encountered a lot of difficulties in production. So in the longer term, will we consider switching from OEM mode to self-build production? Are there any difficulties in obtaining qualification and will it optimize our new product, the ramp-up speed or manufacturing cost? And my second question is regarding to R&D investment and CapEx about the boundary of our in-house R&D. As we can see that in the third quarter R&D extent - further expense to RMB 2.8 billion. So consider the current capital market environment and the much more intense competition in Chinese EV market in a few years. But will we adopt a more conservative strategy of R&D and CapEx? So under what circumstances, we will address our current strategy? And whether our organization is flexible enough to adjust? And the last question is about just mentioned and PV models. So what do we think of the MTD market? Will we launch the new product pipeline in this segment in the future? That's all my three questions.
William Li: [Foreign Language] For the Factory II, we are still working together with JSE. I believe our joint manufacturing corporation has been quite positive. Regarding the vehicle production, I believe the vehicle production capacity can support the company's delivery target in the short term. Previously, I've already mentioned that for one plat we should be able to achieve 150,000 units under one shift and if we combine the two plants together, the Factory I and Factor II, then you need that under one shift, so we should be able to achieve a production capacity of 300,000 units. If we double this to two shifts, then the production capacity can also be doubled. When it comes to the supply chain, of course, there are some volatilities for the whole industry, not just for NIO. But as we ramp up our production capacity and delivery, I believe we have the capability to mitigate the risk of the supply chain. For the second question regarding the boundaries of our investment, previously have already mentioned, we do have a sufficient catch reserve to support the company's operations. And when it comes to the overall investment for R&D, every quarter, we expect to have - to invest around RMB 300,000 for - 300,000 actually for 3 years. Sorry, billion - sorry, every quarter, we expected to invest around RMB 3 billion R&D efforts. So this includes all the R&D initiatives we have explained previously. For the CapEx we will improve the efficiency on the CapEx investment, and we do have a very strict management regarding the finance and the investment of the company.
Stanley Qu: Okay. And with regard to the MPV market, our strategy is very simple. In the short term, we have no plan to launch MPV model. Of course, long term, we'll keep monitoring the big market, also look at staff, we believe this market is very hot. For the supply side, several Chinese brands have launched their high-end PV model, but from the demand side, at least right now, the MPV segment still remains a rich market, but that's why we would like to get more clean and then set what to do in the next several years.
Operator: Our next question comes from Yuqian Ding with HSBC. Please go ahead.
Yuqian Ding: [Foreign Language] I've got two questions. First is to follow up on the margin side. So next year's gross profit margin improvement, will that be mainly coming from the increasing economic scale? Could we have some quantification over there? Because we see from the mix side, it was more 85 [ph] in the mix could be coming down a little bit. And also, we talked about our Q4 breakeven, does that based on the current lithium price assumption or in our Q4 breakeven assumption they're basically baking normalizing of the lithium price? And the second part is to ask, what's the City Pilot [ph] on the autonomous driving side with our time line to push for City Pilot. And when do we expect the - our autonomous driving capability to improve from selling vehicle items to support materially on the margin side?
William Li: [Foreign Language] Thank you, Yuqian, for your question. As of now, of course, the lithium carbonate cost is not going down as we expected in the fourth quarter. But like I - this point previously, I don't believe this is a supply issue because if we look at the market right now, all the car companies can actually get sufficient supply of the batteries. For us regarding the lithium resources, so we have seen some lithium resources enter the market in the past year - in the past and we expect probably next year, the cost of the lithium carbonate is going to be around RMB 300,000 to RMB 400,000. When it comes to the budget planning of the company, of course, we would like it to be more conservative. So our assumption is around RMB 400,000. This is basically over judgment regarding the lithium carbonate cost probably for the next year. [Foreign Language] For the autonomous driving, I believe we will need some time to see the contributions of autonomous to the vehicle gross margin and the overall gross margin. There are several factors. The part is because of the feature and function development and the parties because of their legislations. Recently, we do see some positive progress on the legislation front. For example, MIT has launched some pilot programs for the autonomous driving. And for us, we believe it will still need probably 1 to 2 years to get mature when it comes to autonomous driving technologies and also the legislations. So in the short term, we expect probably they will not see any significant contribution from the autonomous driving to the vehicle gross margin and the overall gross margin.
Operator: Our next question comes from [indiscernible] CITIC Securities. Please go ahead.
Unidentified Analyst: [Foreign Language] So my first question is about inventory. So the inventory is around RMB 6.7 billion on quarter 3. It is nearly doubled compared with quarter 2. So does this number imply around 10,000 more inventory cars on your balance sheet? My second question is about ET5. It was really hot on September. But recently, we see some negative comments and news on the social media because of its poor performance on energy efficiency. So I was wondering what your next move to deal with the consumers' concerns. Thank you for taking my questions.
Stanley Qu: This is Stanley. For the inventory increase in Q3, I think mainly two reasons. One is about our increase of inventory cars in Q3. Our production was negatively impacted by our [indiscernible] in Q3. So we increased the production of EC8, and EC6 in Q3. Secondly, it's because of the increase of the component inventory to secure the production in the coming months, we stored more key materials like chips and also other raw materials in Q3. So all those factors lead to the increase of our inventory stock.
William Li: [Foreign Language] Yes, for the EC5, different tires may have a different impact and the different performance when it comes to the power consumption. If the users choose a performance tire than the power consumption will be higher. But if the user choose the long range tire or the low resistance tire than the power consumption performance is going to be much better. So we would also like to remind all the users, if you really enjoy driving and handling and you would like to experience the acceleration of EC5 within 4 seconds, then of course, you can go with the performance tire. But if you care more about the drive range, then it's better for you to go with the long-range tire, which will have a much better performance when it comes to the rent.
Operator: As there are no further questions, now I'd like to turn the call back over to the company for closing remarks.
Eve Tang: Thank you once again for joining us today. If you have further questions, please feel free to contact the new Investor Relations team through the contact information provided on our website. This concludes the conference call. You may now disconnect your lines. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may all now disconnect.